Executives: Jon R. Moeller - Chief Financial Officer Teri L. List-Stoll - Senior Vice President and Treasurer Robert A. McDonald - Chairman, Chief Executive Officer, President and Member of Proxy Committee
Analysts: Lauren R. Lieberman - Barclays Capital, Research Division Christopher Ferrara - BofA Merrill Lynch, Research Division Nik Modi - UBS Investment Bank, Research Division William Schmitz - Deutsche Bank AG, Research Division Wendy Nicholson - Citigroup Inc, Research Division John A. Faucher - JP Morgan Chase & Co, Research Division Dara W. Mohsenian - Morgan Stanley, Research Division Javier Escalante - Consumer Edge Research, LLC Constance Marie Maneaty - BMO Capital Markets U.S. Joseph Altobello - Oppenheimer & Co. Inc., Research Division Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division Jason Gere - RBC Capital Markets, LLC, Research Division Alice Beebe Longley - The Buckingham Research Group Incorporated Timothy A. Conder - Wells Fargo Securities, LLC, Research Division Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division Linda Bolton-Weiser - Caris & Company, Inc., Research Division Leigh Ferst - Wellington Shields & Co., LLC, Research Division
Operator: Good morning, and welcome to Procter & Gamble's Quarter End Conference Call. Today’s discussion will include a number of forward-looking statements. If you will refer to P&G’s most recent 10-K, 10-Q and 8-K reports, you will see a discussion of factors that could cause the company’s actual results to differ materially from these projections. As required by Regulation G, P&G needs to make you aware that during the call, the company will make a number of references to non-GAAP and other financial measures. Management believes these measures provide investors valuable information on the underlying growth trends of the business. Organic refers to reported results, excluding the impacts of acquisitions and divestitures and foreign exchange where applicable. Free cash flow represents operating cash flow less capital expenditures. Free cash flow productivity is the ratio of free cash flow to net earnings. Any measure described as core refers to the equivalent GAAP measure adjusted for certain items. P&G has posted on its website, www.pg.com, a full reconciliation of non-GAAP and other financial measures. Now, I will turn the call over to P&G's Chief Financial Officer, Jon Moeller.
Jon R. Moeller: Thanks. And good morning, everyone. Joining me this morning are Bob McDonald and Teri List. I'll begin today's call with a summary of our third quarter results, and Teri will provide highlights for some of our largest product categories. I'll provide an update on our growth strategies in both developed and developing markets, as well as our productivity efforts, and then conclude the call with guidance for the June quarter and fiscal year 2012. We'll take questions after our prepared remarks and will be available after the call to provide additional perspective as needed. Also, we'll be posting slides containing the business segment information on our website, www.pg.com, following the call. As a housekeeping matter, please note that our results and guidance are now presented with the Pringles business reported as discontinued operations, ending the divestiture of the business to Kellogg. Pringles sales and earnings are no longer included in organic sales or core earnings per share numbers. Related to this change, we're moving to 5 reporting segments, with Pet Care now included in the Fabric Care and Home Care segment. Moving to results, our third quarter underlying results were within our guidance ranges. Organic sales growth was at the low end of our estimates, and core earnings per share were towards the high end of the expected range. All-in sales growth was 2%. This includes a negative 1% impact from foreign exchange. Organic sales were up 3%. Top-line growth was broad-based, with all 5 reporting segments growing organic sales for the third consecutive quarter.  January to March results include the impact of business disruption and substantial price reductions in Venezuela, leading up to and following the publication of the new price control regulations. In the period leading up to the pricing announcement in Venezuela, it was unclear for manufacturers and retailers what pricing would have actually been mandated. Because of this, many retailers reduced or stopped ordering product to prevent holding inventory at a higher cost than what they would eventually be able to sell the product to consumers for. This significantly impacted our volume in the country during the quarter. Additionally, when the pricing restructuring were announced, we began reducing prices on our products by as much as 25%.  While shipments and lower pricing in Venezuela negatively affected third quarter organic sales growth for the total company by more than 0.5%, excluding these impacts, organic sales for the quarter would have been 4%. This marks our 10th consecutive quarter with organic sales growth in the range of 3% to 5%, averaging 4% over those 2.5 years.  Organic volume was in line with prior year levels. Pricing contributed 5 points to organic sales growth, positively benefiting all 5 reporting segments. This marks the third consecutive quarter where pricing has added 4 or more points to sales growth and the third consecutive quarter where pricing has been a positive contributor to sales growth in each reported segment. Mix reduced sales by 2 points is due mainly to disproportionate growth in developing markets. Shifting now to markets. Market growth has been decelerating on a volume basis. Developed markets were down slightly in our categories in the third quarter, reflecting weak economic conditions. North America volume growth in our categories slowed from 1% over the past 12 months to about 0.5% over the past 6 months to essentially flat for the past 3 months. Western Europe remained down about 0.5 point versus prior year on a volume basis. Developed region market value was up about 2 points on a constant currency value basis due to pricing.  Markets in developing regions are faring much better. Developing regions underlying market volume was up 4% for the quarter, and constant currency sales were up about 10%. We've seen a modest sequential deceleration in market volume in Asia and Latin America over the past 12 months as more price increases have reached the market. However, the value contribution from pricing has more than offset slower volume growth. P&G global market share for the quarter was down very modestly versus prior year as share growth in developing markets was more than offset by soft market share trends in developed regions. Market share was in line, our higher end businesses representing about 45% of global sales, consistent with December quarter results. We held or grew share in 7 of our top 15 countries and on 13 of our 26 billion-dollar brands. Those who are paying close attention may note that we've increased the number of billion-dollar brands from 24 to 26, as Vicks and SK-II each crossed this billion-dollar annual sales threshold during the March quarter.  There are a few category/country combinations where we lost significant share when we increased list prices and competitors did not. We're taking proactive steps to restore the value of our brands relative to competitive offerings in these markets. In early February, in the U.S. auto dish category, we effectively reversed the 80% lease price increase we took last summer. In U.S. powder laundry detergent, we introduced bonus packs on select brands and sizes and notified the trade of our decision to adjust list prices in the summer. We've also taken steps to correct price gaps in the U.K. laundry detergent business.  There are few additional category/country combinations where we've lost market share due to increased competitive promotional activity. In U.S. Oral Care, we are facing an unprecedented level of promotional spending. Fact channel reports for our primary competitor shows 67% of their volume moving on promotion, an increase of 16% versus prior year levels. The depth of promotional discount was 34% off everyday shelf price, a 43% increase in depth of the discount versus prior year. Our primary competitor in the U.S. blades and razors category has been promoting at extremely high levels on a nearly continuous basis for the past 2 years since their last new product launch. Increase in the percentage of their volume moved down promotion by more than 50%. While we have grown market share on our top-tier Fusion ProGlide product, which was the #2 innovation as measured by retail sales in North America in 2011, competitive promotion levels have resulted in their top products being priced down to a Mach3 level. As a result, Mach3 volume and market share have been under pressure. Last, in the Mexico laundry detergent category, one of our international competitors has been promoting at extremely high levels following an unsuccessful new brand launch.  We have recently began announcing our plans to our retail customers to restore relative consumer value in these 3 categories and protect our market share position. We expect corrective list price reductions and promotional increases to be limited to just a few category/country combinations. I've just talked about 6 category/country combinations. We do business in over 1,000. We do not currently expect the broad scale reversal of the price increases we implemented over the past 5 quarters or those we're implementing right now. We expect to see progressive improvement in market share as the pricing gaps I have mentioned are addressed. For perspective, if share in the 6 businesses I've just discussed have been flat or growing during the March quarter, we would have built overall company market share and held our growing share in businesses representing about 55% of our global sales.  From a regional standpoint, we have been outpaced in North America, as you've seen in recent market share reports. We're prioritizing innovation in this market with items like Tide PODS, Always and Tampax Radiant, Crest Pro-Health Clinical, Pantene Ice Shine, Downy Unstopables, Bounty Trap & Lock, Febreze car air fresheners and Gillette ProGlide Styler. Also, the targeted price adjustments I just described, 4 of the 6 are in North America. We're committed to a healthy business in North America, and we'll take the necessary steps to deliver this.  Shifting to the bottom line, core earnings per share were $0.94 towards the top end of our guidance range and in line with prior year levels. Higher commodity cost, the impact of Venezuela pricing regulations and a higher core tax rate were offset by the benefits from higher pricing and strong cost savings results.  Our guidance for third quarter earnings per share after adjusting for Pringles was $0.89 to $0.95. As we said on our last earnings call and at CAGNY, this guidance did not include the impact of price controls in Venezuela, which were eventually announced in late February. We estimate this negatively impacted the third quarter by approximately $0.03 per share. The quarter also included, though, a $0.03 per share gain in the core tax rate versus our guidance.  All-in earnings were $0.82 per share. This includes $0.13 per share of noncore charges primarily related to restructuring activities. The noncore charges also includes final small adjustment to goodwill values for the Appliances and Salon Professional businesses.  Core gross margin declined 100 basis points. Pricing improved gross margin by roughly 230 basis points and savings projects helped gross margin by approximately 130 basis points. These benefits were more than offset by a 230 basis point negative impact from higher commodity costs and a 210 basis point negative impact from a combination of product and geographic mix. Core SG&A costs were down 110 basis points due mainly to top-line leverage and 50 basis points of lower overhead costs, driven by productivity improvements.  Core operating profit turned positive, growing 2% for the quarter despite a 3-point negative impact from Venezuela. We've made sequential improvement through this fiscal year, with core operating profit progressing from down 4% in the first 2 quarters to up 2% in the third quarter and up 5% excluding Venezuela. We expect this metric to improve further in our fourth quarter and again next fiscal year.  Core operating profit margin grew 10 basis points, including about 180 basis points of productivity improvements and cost savings.  On an all-in basis, gross margin was down 150 basis points, and SG&A costs increased 70 basis points with all-in operating profit margin down 230 basis points. All of the decline was due to 230 basis points of noncore restructuring investments. The effective tax rate on earnings from continuing operations was 23.7%. Excluding the impact of noncore items, the effective tax rate on core earnings was 23.4%, which compares to a base period core tax rate of 20.8%. This difference reduced earnings by share by about $0.03 per share and lowered the core earnings per share growth rate by 3 percentage points. We generated $2.9 billion in free cash flow in the quarter with free cash flow productivity of 119%. We returned $3.8 billion of cash to shareholders this quarter through $1.5 billion of dividends and $2.3 billion of share repurchases.  Earlier this month, we increased our quarterly dividend by 7%, making this the 122nd consecutive year in which we paid the dividend and the 56th consecutive year in which the dividend has increased. At the new annualized dividend of about $2.25 per share, our dividend yield is approximately 3.4%.  Now I'll turn the call over to Teri to review some of the highlights of our business results.
Teri L. List-Stoll: Thanks, Jon. As a reminder, I'll not be covering all 5 of our reporting segments but rather, we'll cover some of the highlights of our larger categories. For more information on business segment results, please refer to the press release we issued this morning and slides that will be posted on our website, pg.com, at the conclusion of this call. Segment results reflected dynamics of the macro and competitive environment. Developing markets continue to perform well, with sales growing double digits for the quarter and value share increasing for the ninth consecutive quarter. A few highlights include India delivering its 39th consecutive quarter of double-digit sales growth, Brazil growing sales over 30% and building share for the 25th consecutive period, and Russia growing value share for the 10th month in a row. As Jon mentioned, we've had some more specific challenges in developed markets, which you'll hear about in the segment discussion.  Starting with the Beauty segment. Organic sales growth was 2% behind volume growth of 1% and positive pricing of 5%, mix reduced sales by 4%. At the category level, Hair Care volume grew low single digits, driven by developing markets. Brazil Hair Care shipments increased nearly 20% and value share was up more than 2 points, with double-digit volume growth on both Pantene and Head & Shoulders. Greater China Hair Care volume was up low teens and shampoo value share grew nearly 1 point, with Head & Shoulders volume increasing nearly 25% behind a product restage and commercial innovation. India Hair Care shipments grew more than 50% with Pantene more than doubling, driven by Pantene sachets. In developed markets, North America Hair Care volume was down low single digits. Volume growth on both Pantene and Head & Shoulders was offset by volume declines in the hair color business, driven by a high base period with initiative launches. Pantene shipments were up double digits behind the launch of the Pantene Ice Shine and Aqua Light initiatives and a refocused marketing campaign. Global Skin Care shipments were down mid single digits. Developing markets were about flat. An example of developing markets progress is the Philippines, where Olay volume grew nearly 50% and share increased over 3.5 points behind supportive Natural White sachets and increased trial and distribution, but we have some challenges in markets like China. In North America, volume declined due to the significant competitive activity in the mid-priced tier. We're taking steps to address these trends by introducing 6 new items into the mid-tier anti-aging and cleansing segment and starter kits across the Pro-X lineup. Also, our new Olay Facial Hair Removal innovation is off to a strong start. Sales are 50% higher than our launch target and has been the #1 selling facial skin care item with Hispanics and African-Americans. In the Grooming segment, global blades and razors shipments increased low single digits and value share increased slightly. Asia volume was up high single digits, and value share was up nearly 2 points behind Gillette Guard growth in India, expansion of Fusion ProGlide into several new markets and overall market growth. North America volume declined mid-single digits. Fusion ProGlide delivered strong volume growth behind the launch of the ProGlide Styler, which earned over 20 share of the razor category after only 5 weeks after launching. This increase, however, was more than offset by customer inventory adjustments and declines in the Gillette legacy and Mach3 businesses as competition continued to invest heavily in promotional spending on their Hydro product. As Jon said, we have increased promotional levels in this market to help address this dynamic.  In Health Care, Oral Care volume was down slightly versus a year ago. In the U.S., volume was flat and share was down. Over the past 2 years, our U.S. Oral Care business has delivered very strong volume share and sales growth and, as Jon mentioned, has recently been faced with heightened levels of promotional spending. Throughout this, our core business continued to perform well, with Crest 3D White toothpaste delivering its 24th consecutive period of share growth, increasing every month since launch. Additionally, early results show that the March launches of the Crest Pro-Health Clinical Regimen and the Crest 3D White Glamorous White Toothpaste are off to a strong start. We've also made modest increases to our promotional levels to be more competitive. Greater China Oral Care faced a challenging third quarter, with volume down double digits primarily due to an uncompetitive value profile, especially in the premium segment. We expect to see the business begin to recover in the fourth quarter as the price gaps have recently begun to narrow and as we launched new innovations and implement strengthened marketing plans. Latin America Oral Care volume grew mid-teens and share was up behind the successful Oral-B toothpaste expansion market. Brazil toothpaste was over a 6% value share on a national basis and nearly 11% where it is distributed. In Colombia and Peru, where Oral-B toothpaste just launched this quarter, results have exceeded expectations. In the fourth quarter, we'll continue our Latin America expansion, moving into Argentina, Chile and the high-frequency store channel in Brazil. Our European toothpaste expansion markets also continued to deliver ahead of expectation. In the U.K., where we launched last July, value share is over 8% with a positive halo benefit on the balance of our Oral Care business, driving P&G to the #2 position in the overall category.  In the Fabric and Home Care segment, organic sales grew 2%. Positive pricing of 7% more than offset a 3% volume decline. Mix was negative too. Global Fabric Care volume declined low single digits. Developing market shipments were up low single digits, led by Asia's double-digit growth. India Fabric Care volume increased nearly 20%, and share increased more than 1.5 points to 13%, with all price tiers growing. Another driver was Downy fabric enhancers with shipments in Asia up nearly 25% due to recent expansion into Indonesia and Korea. Developed market Fabric Care volume was down despite several positive developments this quarter. We're seeing value share growth in U.S. Tide and Downy. Early results on Tide PODS are very positive. After only 1 month in market, Tide PODS have reached a 67% dollar share of the unit dose category. Shipments are about 30% ahead of our going-in expectation. Downy Unstopables are shipping twice as high as expected. This growth, however, has been more than offset by the impact of our uncompetitive prices in U.S. powder laundry and the U.K. laundry category. As Jon mentioned earlier, we've taken steps to address this situation. Global Home Care shipments and value share were down slightly versus a year ago, with developed market volume declining mid single digits and developing markets growing mid-teens. The Central and Eastern Europe, Middle East and Africa region led the growth, with volume up over 20% and value share up 1.5 points. The growth was broad-based due mainly to recent category expansions, including dish care into Turkey and Air Care into Eastern Europe. U.S. Air Care volume was up mid single digits, and value share grew over 1.5 points behind the new Febreze Car Vent Clip that is exceeding expectations and has reached over 15 shares of the car care category. This growth was more than offset by softness in the auto dishwashing category. Jon shared earlier that in February, we reversed our previous price increases in this category. We started to see lower pricing on shelf and sequential improvement in market share trends. Finally, the Baby and Family Care segment increased organic sales at 6%. Volume growth of 3% and pricing of 5% was partially offset by negative mix of 2%. Global Baby Care volume was up low single digits, and value share grew over 0.5 point. Developing market shipments increased mid-teens, with strong growth across multiple markets. The BRIC markets increased volume by over 20% on average. In developed markets, shipments declined mid-single digits. North America share increased over 0.5 point, while volume was down due to the contracting market. Family Care volume was up low single digits, driven by the recent North America launch of the Bounty Trap & Lock technology upgrade. Customer response has been very positive, with increased distribution and record levels of merchandising and display. With that, I'll turn the call back over to Jon.
Jon R. Moeller: Thanks, Teri. Before we discuss guidance, I want to provide some additional perspective on our results. Two of our primary objectives for this fiscal year were to maintain top-line growth momentum and to make meaningful improvement in core operating profit growth. On the top line, as I said earlier, this is our 10th consecutive quarter with organic sales growth in the range of 3% to 5%, averaging 4% over those 2.5 years. Over the past 4 quarters, we've executed nearly $3 billion in price increases and delivered 4% organic sales growth. On the bottom line, core operating profit growth has improved, moving from down 4% in each of the first 2 quarters of this year to growth of 2% this quarter, which is 5% excluding the Venezuela impacts. We expect further acceleration of operating profit growth in the fourth quarter. So we've made progress on both of these fronts. The pace of operating profit improvement has been slower than we expected when we began this fiscal year due primarily to several headwinds, including developed market growth rates, competitive pricing and promotion dynamics, foreign exchange, which has been about $0.5 billion hit since we first provided guidance for the year, and several market level setbacks. We're working to offset these headwinds through innovation, the expansion of our portfolio in developing markets where growth is stronger, and with our significant productivity interventions. I want to cover each of those briefly. Innovation, as we've said many times, is the best antidote to sluggish growth in developed markets. We're upgrading existing products with innovations like the Crest & Oral-B Pro-Health Clinical lineup and a significant performance improvement across the Bounty franchise. Earlier this month, we launched Always and Tampax Radiant, our first ever Feminine Care initiative that spans across our total franchise of pads, tampons, liners and wipes. We're launching new forms in current categories with products like Tide PODS. We're entering new categories with items such as Downy Unstopables and the fabric scent enhancer segment, Febreze car air freshener in the car air care segment, and Olay's Smooth Finish in the facial hair removal segment. In June, we will launch ZzzQuil, Vicks' first entry into the U.S. sleep aid segment of Personal Health Care.  We're expanding recent innovations to new markets. In February, we launched Lenor Aroma Jewel Beads in Japan, a local version of Downy Unstopables. It quickly grew to nearly a 4% share of the fabric enhancer market. We've now expanded Fusion ProGlide to more than 30 countries across North America, Western Europe and major markets in that CEEMEA region. And through our joint venture with Teva Pharmaceuticals, we have announced plans to expand the Vicks brand to sell at Eastern European markets in June, including Russia and Poland. These are just the few examples of recent and upcoming product innovation.  P&G innovations continue to lead the industry. As reflected in the most recent IRI Pacesetters report, which ranks new U.S. innovation launches based on dollar sales, P&G had the first and second most successful new initiatives, 3 of the top 10 and 8 of the top 25 nonfood innovations in the United States in 2011. For perspective, our 6 largest competitors had a total of 7 innovations in the top 25. Over the 17-year history of this report, P&G has launched 140 top 25 ranked innovations, 1/3 of the cumulative total for the industry, more than our 6 leading competitors combined and 5x more than the second ranked competitor. In addition to product innovation, we've just kicked off the strongest global commercial innovation program in company history. Last week, we started a worldwide retail activation of our Olympics sponsorship. Retailers around the globe are partnering with us to make this our largest Multi-Brand Commercial Innovation. Our online marketing program launched 2 weeks ago. And last week, we kicked off the global Thanks, Mom campaign that will build with significant online, on-air and in-store events through Mother's Day. Our Olympics program includes more than 30 P&G brands and 150 athletes around the world. In the U.S. alone, we expect to generate over $5 billion consumer impressions and generate returns in our marketing investments at least twice as high as our normal merchandising programs. Over the course of the campaign, we expect our global Olympics commercial innovation to generate up to $500 million in incremental sales across both developed and developing markets. The combination of strong product and commercial innovation, coupled with the limited pricing interventions I described, should enable us to grow in developed markets despite the underlying market growth challenges.  The second way we'll cut the slowdown in developed market growth is to continue delivering strong growth in developing markets. Our volume sales and market share growth trends in these regions have been very strong, averaging 12% organic sales growth over the past 4 quarters and growing market share on a value basis for 9 consecutive quarters. We're rapidly expanding our presence in these regions, adding about 15 new country/category businesses over this fiscal year and last. Developing markets will represent about 37% of annual sales and 45% of volume by the end of this fiscal year. We're doing this in part to access faster near-term growth and in part because we see it as a longer-term growth opportunity.  In 2010 to 2020, the global population is expected to increase by nearly 700 million people, with 95% of this growth in developing markets. Growth will be even faster in terms of wealth between 2010 and 2020. 1 billion individuals in developing markets will move out of poverty, earning more than USD $10 a day, a key take-off point for our product categories. Based on a study published by the OECD Development Centre, the world's middle class will increase by over 1.4 billion consumers by 2020, with over 98% of these people living in developing markets. The number of millionaire households is expected to increase by more than 200% in developing markets. In the BRIC markets alone, this is an incremental 2 million households at the millionaire level. We're tiering up our portfolios to delight consumers as their wealth increases and they begin purchasing in the premium and super premium tiers while continuing to attract new consumers into our categories at lower tiers with affordable innovations. There's an understandable question about whether we can be successful in coming from behind in some developing markets. We have good long-term success growing in markets, where we are coming from behind. In 1991, P&G sales in Asia were $1.5 billion, less than 40% of Unilever sales. In 2001, P&G sales were $4 billion, up to 56% of Unilever size. Today, P&G sales in Asia are over $12 billion, now over 95% of Unilever's. There's also been a question of whether we can achieve this growth profitably. One misconception that feeds the profit question is that developing markets consumers are all core and then all growth will come at low price point. The BRIC markets actually have fairly well-developed premium and super premium tiers. These higher tiers are growing ahead of the overall market in many of the developing countries. For example, in China, the super premium tier, which is already 17% of sales in the market, is growing at a 30% pace. Developing market consumers are willing to pay for products they value. The price for product sold in many of our categories in the more developed or the developing markets is as high as similar products in the U.S.  As we expand our category and price tier portfolios, we develop more scale. Scale allows us to purchase medium more efficiently, use our distributors more effectively, and leverage the P&G portfolio with customers and consumers. We know from history that developing market growth becomes increasingly profitable over time. In markets such as China, Poland, Russia, Saudi Arabia and the Philippines where we have built scale to a broad portfolio of products, have local production in place and compete at multiple price tiers within categories, our margins are roughly in line with the company average. As a result, we'd expect our developing market expansions to be profit-accretive, not dilutive, over a reasonable period of time. To make the investment in innovation we want to make, to support our portfolio expansions in developing markets, to overcome macroeconomic headwinds and at the same time deliver the earnings progress you and we expect, we have to become much more productive. At CAGNY, we outlined a 5-year plan to save up to $10 billion from a projected cost pool of around $85 billion in fiscal year 2016. We discussed opportunities in nearly every element of cost, from materials and manufacturing to marketing to overheads, and we are moving forward on each of these. When I discussed cost of goods for the March quarter, I mentioned savings around 130 basis points. This was consistent with the level of savings we expect to deliver on average over the life of the $10 billion program. We've already begun the planning and optimization -- optimizing that will enable to us generate 10 to 20 basis points of productivity per year for the marketing spend pool.  Some have questioned why we would cut our marketing investments. We're not. We'll grow it significantly, just slightly below the rate of sales growth. And many of the savings will be in nonadvertising marketing cost.  Turning to overhead. We've announced plans to reduce nonmanufacturing enrollment by 10% over 2 years, and have already taken the steps that are necessary to reduce enrollment by 3% by the end of this fiscal year. We began to see a portion of these savings in the March quarter, which helped us reduce core SG&A spending by 50 basis points. We've made significant progress on the design work for the additional role reductions that we're targeting by the end of next fiscal year. We're on track to deliver the cost savings objectives we discussed 2 months ago for this fiscal year and over the 5-year period we outlined at CAGNY. All-in, we believe we have a plan to maintain solid top-line momentum while continuing to improve operating profit. The headwinds we've had to deal with this year do reduce, though, the amplitude of this improvement, which is reflected in our guidance. For the April to June quarter, we're estimating organic sales growth in the range of 4% to 5%. Within this, we expect pricing will contribute 4 to 5 points to sales growth, again, this quarter. Foreign exchange is expected to reduce sales by about 3%, which leads to all-in sales growth in the range of 1% to 2% versus the prior year. On the bottom line, we expect June quarter earnings per share in the range of $0.79 to $0.85, or down 4% to up 4% versus base period core earnings per share of $0.82.  The core earnings per share growth rate includes notable headwinds from the tax rate and nonoperating income versus prior year. The effective tax rate in the June quarter of last year was 21.1%, and we expect the comparable rate to be about 400 basis points higher this year. This equates to roughly a 6-point headwind on earnings per share growth for the quarter or about $0.05 per share. Also, nonoperating income in the prior year included the sale of a minor brand that added $0.03 to earnings per share, and we're not planning for a similar benefit in the current year. This is an additional 4-point earnings per share growth headwind. Adjusting for tax and nonoperating income headwind, this quarter's guidance equates to core earnings per share growth in the range of 6% to 14%. As I've mentioned earlier, we expect continued improvement in core operating profit and core operating profit margin. Commodity cost will be a much smaller year-on-year headwind as we have finally annualized the majority of the cost increases we experienced over the last year. In addition, we'll have a full benefit of pricing. The net of these impacts, combined with our cost savings and top-line levered benefits, are expected to drive core operating profit growth in the mid single digits to double-digit range for the quarter.  On an all-in basis, we estimate earnings per share in the range of $1.21 to $1.32. This includes the expected one-time gain of $0.47 to $0.50 per share from the divestiture of the Pringles business to Kellogg and $0.02 per share for the operating earnings from the businesses which are reported as discontinued operations. We are now projecting that we'll be able to close the Pringles divestiture by the end of our fiscal year subject to receiving the necessary regulatory approvals. The all-in earnings per share range for the quarter also includes noncore restructuring charges in the range of $0.05 to $0.07 per share. For the fiscal year, organic sales growth will be approximately 4% for the full year. This is comprised of volume growth of about 1%, negative mix of about 1% and pricing contribution of 4 points. We expect foreign exchange based on the current rates will be roughly neutral to sales growth for the year, leaving our all-in sales growth guidance also at 4% for the year. On the bottom line, we now expect core earnings per share in the range of $3.82 to $3.88. This compares to a prior range of $3.93 to $4.03, which did not include the impact of pricing controls in Venezuela. The new guidance range includes a negative impact of $0.04 to $0.05 per share due to those pricing regulations. The remainder of the guidance change reflects the pricing adjustments in several categories, the difficult economic environment in Western Europe and the deceleration of the U.S. market growth.  The decision to lower guidance is always difficult. However, we have and will continue to make the hard, right choices for the long-term health of the business versus the easy wrong choices, which benefit near-term results but which hurt the long term. We could have waited to address the consumer value issues and the categories I mentioned earlier. We could have scaled back marketing support or trade spending behind new initiatives or delayed new launches to next year. These choices would have helped fourth quarter earnings but would have been harmful to longer term growth. We now expect all-in earnings per share in the range of $3.63 to $3.74. This range includes the expected gain from the Pringles divestiture of $0.47 to $0.50 per share and $0.07 per share of net earnings from Pringles now classified as discontinued operations, Noncore restructuring cost in the range of $0.18 to $0.20 per share and $0.53 per share of noncore charges for impairments and legal items. We continue to expect capital spending in the range of 4% and 5% of net sales, and we're estimating free cash flow productivity that approaches 90% for the year. We'll pay around $6 billion in dividends, and we'll repurchase about $4 billion in stock for the fiscal year.  In summary, we're making progress in a difficult economic and competitive environment. We expect to maintain top-line growth momentum while further improving operating profit growth in the fourth quarter. We're taking the necessary steps to ensure brands remain competitive in certain category/country combinations, and we are continuing to make the investments necessary to deliver our long-term growth objectives while increasing the urgency to deliver near-term improvements in our cost structure.  As we look forward to fiscal 2013, we're building our budgets and investment plans with a balanced view of sustaining our critical investments for long-term growth and delivering high-quality operating profit and earnings per share growth at levels consistent with our long-term objectives. We'll continue to see a strong benefit from the pricing we implemented this fiscal year. The cost savings generated by our restructuring investments and productivity improvements will build as we move through next fiscal year. We'll have a full year of innovations like Tide PODS in the market, and we have a strong slate of new innovations and market expansions coming next year.  In addition to these tailwinds, a few of the macro headwinds we faced this year should be less severe next year. For example, while commodity cost will be higher next fiscal year, the increase should be much smaller than we faced this year. Also, while we don't anticipate an acceleration of growth in developed markets, we do not expect them to slow down further. We will keep updating our assumptions on this macroeconomic factors as we finalize our forecast for next year. We plan to provide detailed guidance for fiscal 2013 at our next quarterly earnings conference call, which is scheduled for Friday, August 3. That concludes our prepared remarks and now Bob, Teri and I will be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Lauren Lieberman of Barclays Capital.
Lauren R. Lieberman - Barclays Capital, Research Division: So in the press release, you guys mentioned particularly about the change to guidance to the fourth quarter commodity cost being higher year-over-year. And as I remember, the commodity cost getting easier was supposed to be a big part of the operating margin improvement that we would see in this fiscal year. So when I combined that with just how much more pricing you guys are taking than the competition, seeing your volumes flat globally and that's the implied guidance for Q4, I can't help but come back to the decision to really not participate in much -- in the way of hedging. It feels to me like you're introducing more volatility and less predictability in your business than may be necessary and then maybe the case for your competitors. So can you guys just comment on that, and your position around how to manage costs over time?
Jon R. Moeller: Yes, I mean, first, we will prioritize the management of cost in ways that are sustainable and enduring. And we do that by reducing -- by improving productivity and reducing overall cost so that we can absorb these cost increases. If we can do that successfully, that stays with us forever. A hedge only benefits us for the duration of the instrument. And as soon as the instrument expires, we're back to the same problem. So we need to be operating the business in a way that overcomes those costs. We're doing that 2 ways. One is through pricing, as you've mentioned. Our levels of pricing aren't that different, at least on a global basis from the reports that I've seen over the last week. I think Unilever talked about 4.7 points of benefit from pricing. I think Colgate talked about 3 unchanged benefits from pricing. KC talked about 3 points of pricing. So we're in the same ballpark as far as that. I know I'm not opposed to any hedging. And when it's appropriate and cost-effective, it's something that we'll do. But I'm very focused more so on long-term sustainable solutions.
Robert A. McDonald: Lauren, this is Bob. I think also it's important to note that the -- we're trying to change the culture of the Procter & Gamble Company to be much more focused on productivity improvement on a going basis. Even though we've talked about a productivity program, which is on track by the way, this is something that we're going to all be focused on going forward. So as we continue to grow, we create a company which is fit to win over the long term despite growing size. And that's a change for our company relative to our historic past, where we have tended to take big one-time restructurings. We want to continue to improve the productivity of the company going forward.
Operator: Your next question comes from the line of Chris Ferrara of Bank of America Merrill Lynch.
Christopher Ferrara - BofA Merrill Lynch, Research Division: Guys, so obviously, your share is lower in 55% of categories but probably much worse in your higher margin developed markets. And I just wanted to get your color on whether you think these 6 country/category interventions address the root cause, I guess, of the broader share weakness in developed markets. And I guess, is your premium price positioning in what are still sluggish categories still the root cause? If not, what is? And what do you do from a bigger picture perspective?
Robert A. McDonald: Chris, we see the root cause in really 2 ways, and I think Jon mentioned it in his remarks. Number one is the pricing disparities, and we talked about the 6 category/country combinations. Of the 6, 4 are in the United States and that's where the majority of the share loss was. We think we've corrected those. We're not going to allow competition to buy our share with incremental promotion or by not following price increases. The second cause, which also Jon alluded to, was in some spots, our innovation has been inadequate. This is particularly true in the Beauty category and particularly in North America. We've had some great innovations. Jon talked about the facial hair removal innovation on Olay. But the base brand needs innovation. And that's what we're focused on now. Jon talked about other innovations on Pantene, Ice Shine as being an example. Again, Ice Shine is doing very well, but the base brand needs better innovation. So we're working on bringing those innovations to market, particularly in the Beauty Care area. And I think that will alleviate the second cause.
Operator: Your next question comes from the line of Nik Modi of UBS.
Nik Modi - UBS Investment Bank, Research Division: Just a quick question on the restructuring program. And I guess, Jon, Bob, if you think there's disruption being caused within the organization -- I know that was obviously a concern of the management team when you're thinking about doing this. Do you think that this is an issue? And what are you doing to try to limit the impact?
Robert A. McDonald: Nik, as we -- as I alluded to in my comments, we really see productivity improvement as part of our work, not as a one-time event, an episodic event. If we're going to continue to grow as a company, we think that we've got to deliberately work to improve the productivity of the company so that we can operate with the agility and the flexibility of a much smaller company, called a $10 billion company. And as a result of that, we have gone through the organization. We've looked at the way we work. We're changing the way we work. And with the changes in the way we work, we're also changing the organization structure. You've seen some of that already. We have half the number of vice chairmen, for example, that we had before. We have fewer vice presidents than we had before. But the change in the work is really necessary in order to have that agility and speed of a much smaller company. At the same time, we're very deliberate and clear on what the strategy is. You've seen some of that work about how we're going to get more categories into more countries, about how we're going to get a vertical price tier of brands and products in each category, which in many ways is an antidote to a recession type of economy. And we're working hard on that, as well as working hard on an innovation program to support all of that.
Jon R. Moeller: In terms of disruption, I mean, so far, I don’t see it as being terribly disruptive. I mean, we delivered within our guidance range in both the top and bottom line, maybe not at levels that people would like but at levels that we were planning. And so in terms of being able to execute our plans, I don't see a conflict.
Robert A. McDonald: The feedback we get from employees in our organization survey that we run every year is they actually welcome this, that they feel like they have too many touch points. And so the feedback we're getting from employees is very positive. And remember, we're talking about an impact on 10% of our employees, not a higher percentage.
Operator: Your next question comes from the line of Bill Schmitz of Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: So here's a question for you. So if -- has there been a time in the company's recent history where the advertising ratio has increased and market shares have fallen? And then sort of the follow-up to that is -- I don't know how closely you follow those Kantar Retailer PoweRanking. P&G is still obviously the leader, but some of those metrics are down about 20 points over the last 5 years and actually kind of corresponds to the share losses. So how much was the retail execution issue with the share losses? And how much of it is that advertising ratio? Because I don’t think I can remember a time when the advertising ratio was increasing and market shares came down.
Jon R. Moeller: First, just let me provide a little bit of perspective and then Bob can talk about the Kantar metrics. Globally, share is down, but it is down 0.2 points. So this isn't a big cliff-type event. Having said that, as we have said, North America is down about 0.6 point, and we're working to address that with the interventions that I mentioned. But I want to put the share loss in context. And as I said, if we -- if our pricing actions are effective in those 6 product category combinations, we will be back to share growth for the company. Bob, do you want to talk about Kantar?
Robert A. McDonald: Yes, sure. Bill, as you mentioned, we also received, obviously, the Kantar PoweRanking. And as you also mentioned, we did maintain our overall leadership position, as well as our leadership positions in most of the categories. We really value our work and our strong partnerships, and they often act as a catalyst to drive improvement across our competitive set. And while we're being recognized for our leadership in the rankings, we're certainly not complacent. We've taken all of the country/category combinations from the Kantar PoweRanking, we've put together action plans to improve them, and we're looking to improve them with our joint value creation plans with customers. I also would draw your attention to the Advantage Rankings, which have come out recently and, again, showed us well in the lead, showed us in the lead across all categories. But again, we're going through it in a very granular way, looking at countries where we're not doing as well and trying to improve those metrics. We had some customer service opportunities that came out, and we're working hard to improve those.
Operator: Your next question comes from the line of Wendy Nicholson of Citigroup.
Wendy Nicholson - Citigroup Inc, Research Division: My question sort of, I think, follows up on Nik's question. And Bob, you used some words, I think, executing the restructuring and promoting productivity is kind of what you get paid to do or it's what your job is. But I guess the way I look at it, there are couple of things that have gone wrong at P&G over the last year, particularly the price gaps or managing those gaps. Jon, you mentioned, I think, market level setbacks. I don’t even know what that is, maybe it's the Tide PODS delay. But it strikes me that from an execution perspective, P&G is not delivering. And Bob, I'd like your perspective on that. There are so many excuses, not our fault competition didn't follow the pricing, not our fault Venezuela changed, not our fault the developed market consumer isn't robust. But I still say, "God, we're going into this massive restructuring program, how do we know this isn't going to be a replay of 2000 when the core business stinks and you're making huge changes to the organization?" And I'd just say to myself, "God, where is the mea culpa taking responsibility for the weak numbers as opposed to saying, not our fault, it's just really tough out there?"
Robert A. McDonald: Wendy, let me be clear. It is my fault. I am the CEO of the company. I do take responsibility. I do take accountability. And every manager in the Procter & Gamble Company that was on the call would say the same thing. We do hold people accountable for results, and I take accountability for the results. We are working to improve this company over the long term. We've talked about the headwinds we're facing. We've talked about the steps we're taking. We will deliver. This is a company that has delivered over 175 years, and we will continue to deliver. And we will get the right leaders in place to deliver. And we'll put the right programs in place to deliver. We will do it. And I personally don't think that this restructuring program will get in the way of doing that. In fact, if anything, I think it will enable it.
Operator: Your next question comes from the line of John Faucher of JPMorgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: So if we look at the market share performance since you guys presented at CAGNY -- and again, Jon, as you said, it's within your guidance range in terms of organic top line but at the lower end of expectation. Is there any thought in terms of how much of the savings that you need to invest back in the business? Has that changed? And I guess that leads to a general thought with all this promotional talk and everything else like that, is the cost of competing in these categories higher than it has been over the past couple of years? And is that simply because the growth rates have come down and so everyone's scrapping for sort of each piece of unit volume?
Jon R. Moeller: So first, in terms of cost. We've put -- we will have put $3.5 billion of pricing into the market this year. The rollbacks and promotion increases that I referred to earlier are about -- or between $100 million and $200 million of that $3.5 billion. So it is additional investment back in the business that otherwise could have come to the bottom line. But it's not significant in the grand scheme of things. The more significant thing is the $3.5 billion in pricing. And I think relative to the cost of doing business, there are 2 dynamics that are occurring, maybe 3. The first is, again, generally, prices are going up, which is a positive thing. And that's true across our competitive set. That's true across markets. Having said that, the dynamic that you point to, which is slow developed market growth rates leading to a need if the companies want to grow to build share, how does that manifest itself in the marketplace. It's manifested itself primarily in a good way, which is innovation-based competition. We see a growing number of new product launches, for example, on the part of many of our competitors. We do need to respond to those launches. And so that does temporarily increase the cost of doing business. But long term, innovation is good for markets. It's healthy for markets and particularly, some of the innovation at the premium end that we're seeing. So in terms of going forward, how much cost savings will we have to reinvest, that's something we're going to have to look at every day and every week. But I still expect us to be able to deliver our long-term earnings per share growth rates net of that investment.
Operator: Your next question comes from the line of Dara Mohsenian of Morgan Stanley.
Dara W. Mohsenian - Morgan Stanley, Research Division: So Bob, it seems like you're clearly struggling with high consumer demand, elasticity, the increased pricing in developed markets. And I think, at least to some extent, that's driven by the fact that you operate at big price premiums in the product categories you're in, and that naturally creates some market share issues versus peers and a competitive disadvantage in this weak spending environment, and given you're taking higher pricing. So in that context, might it make sense to start to manage developed markets more for profitability than market share, particularly if you need to fund this emerging markets' expansion and hit your long-term EPS growth goals? Or I guess to put it more simply, gaining market share in this consumer environment doesn't seem to allow you to hit your EPS goals. So it seems like something has to give in terms of your focus.
Robert A. McDonald: My experience has been that if you're not growing market share, you're declining. And if you're declining, you're not too distant in the future going to go out of business. So I think in any business, we always try to grow market share. In fact, our goal is to grow our top line 1 to 2 points above the market. And we should be able to do that. We should develop the ideas and the innovations that enable thus to do that. And a 1 percentage point growth in North America or Western Europe is, as you would guess, a multiple percentage point growth required in developing markets. So these are still incredibly important markets to us. And that's why we're reacting to the price differentials that we see in the 6 category/country combinations that Jon mentioned.
Jon R. Moeller: And in terms of being able to do that, both in developed and developing markets, and having the financial flexibility to make those investments while delivering earnings per share expectations is exactly the motivation behind the $10 billion productivity improvement program. We realize that the equation doesn't square currently, and that's the game changer that should allow us to get there. That's in its infancy. As you know, we talked about it for the first time a couple of months ago, but we feel very good about the progress on that and are committed to it for exactly the reason that you described.
Operator: Your next question comes from the line of Javier Escalante of Consumer Edge Research.
Javier Escalante - Consumer Edge Research, LLC: My question is in line with Wendy's a little bit. Do you think that this is purely a spending issue because the categories you are -- you flagged, basically, Oral Care, razors, et cetera, accounts for only 10% of sales. So what is happening to the other 90% of the portfolio, with the exception of Baby and Family, all the other GBUs are underperforming peers that are growing organic sales 5% or better. So to what extent you are really in a position of start balancing top and bottom line growth as soon as the fourth quarter, which is where your guidance has still imply? To what extent this execution is holding back growth? And to what extent you are going to be thinking whether you have the right GBUs' leadership and whether you should be looking outside Procter in GBUs that have underperformed for several years, like Beauty?
Robert A. McDonald: I mean, when I answered the question earlier, I said that there were 2 issues. One was pricing and one was innovation. And we're working on both of them. And when I talked about Beauty, I talked about the innovation program which we've been -- which we're working on, and we're bringing further innovations to market. Again, I believe that we can grow market share particularly behind innovation, which is our lifeblood. And I believe we can grow the top and the bottom line at the same time. As Jon mentioned, the productivity program is an enabler to do that.
Operator: Your next question comes from the line of Connie Maneaty of BMO Capital.
Constance Marie Maneaty - BMO Capital Markets U.S.: Given the earnings shortfalls over the last couple of years, I'm wondering if the growth that you generated isn't a better indication of what the company growth really is as opposed to what the forecast and the guidance almost hope they would be. And then as the follow-up to that, when would you see the inflection point? When are you seeing the opportunity for the restructuring to start to kick in to produce better results than the shortfalls in sales and profits in some of your core businesses to ebb? When do you see that coming?
Jon R. Moeller: So first of all, on this question of should we just use the recent past as a more indicative indicator of the future, doing that would ignore, I think, some very important things. One is that will require an assumption of ongoing commodity cost increases of $1.8 billion a year. And that's not what we're assuming. We're assuming much more modest increases based on current market spot rates. It would ignore the $3.5 billion of pricing that we've put into the market that we'll get the full year benefit for next year. Those are 2. And that would ignore also the intervention we're making on productivity and cost savings. So those 3 things definitively change, going forward, much more -- not completely but much more benign commodity environment, the benefit of the pricing and the benefit of the productivity savings. And that's what gives as confidence that we will grow operating profit and earnings per share. You're starting to see some evidence of that in operating profit even in the last quarter albeit minor. We're talking about mid single to double digit operating profit growth in the fourth quarter. Those same 3 drivers are what will deliver that. And we're still in the planning process for next year, but our targets, obviously, are to get back where we need to be.
Operator: Your next question comes from the line of Joe Altobello of Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: I just wanted to go back to the commentary regarding the deceleration in growth in North America. I mean, you guys mentioned macro, and the macro has been an issue for some time now. I would argue that at least some of the data we've seen had been better, moving in the right direction. So I'm curious, is there something else besides price elasticity? Are consumers not impressed with the level of innovation they're seeing in the categories? Are they shifting spending out of your categories to other categories? Is it something else that you haven't talked about? And then secondly, obviously, it's early for fiscal '13, but could you just give us a thumbnail sketch of where our hedge should be for the next year?
Robert A. McDonald: Joe, we have seen a deceleration in category growth in the United States since January, and that has shown up in the share reports and the other reports that we get. I think what's happening is, obviously, you've got a higher fuel price, you've got other macroeconomic headwinds, like housing and other things. I mean, you read about these as well as I do. But again, a reduction in growth in the markets is not an excuse for us not to be able to grow above the markets. Our goal is to grow 1 to 2 points above market growth. And that's what we're planning to do.
Operator: Your next question comes from the line of Ali Dibadj of Sanford C. Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Just one quick housekeeping question and then the real question. The housekeeping one is just if you could help us a little bit on Venezuela. It was an issue for you, not for anybody else. And it sounds like it's disproportionate to your exposure. That's housekeeping. But the real question is, and actually building on Wendy's, I think, very appropriate question, is that -- look, on this call, if you think about it, you have a bunch of investors who are choosing or not to choose to own companies, choosing to own or not to own companies. And I wondered how you explain to them, and frankly the board, that Unilever or Personal Care grew 10%, J&J skin in the U.S. grew 6.3%, Colgate grew 6.5%, Kimberly grew 6%, all organic, all with better profitability, supposedly not through price gaps because it sounds like that's a minor issue. And I'm not so sure you can use geographic mix as an excuse anymore. So I'm just trying to understand how long do you expect investors to wait? How long does your current plan have to work? How much patience does the board have? And look, you may say it's already working and I respect that. There are some signs of that, but your stock hasn't shown it and your results versus peers haven't shown it. In fact, your peers are probably going to step it up as well as you guys step it up. So I'm just trying to get comfort about that whole issue.
Robert A. McDonald: Ali, your -- the examples you mentioned were primarily in Beauty Care. And as I said, we're unhappy with our innovation program in Beauty Care and we have work to do. Obviously, we've underperformed in Beauty Care for some time now. We've worked to improve the innovation program. It does take some time, but I think you'll see sequential improvement quarter-to-quarter as we go forward in Beauty Care. We have reviewed this within the company and within the leadership of the company, and we're working hard on doing that. If you look outside the United States because primarily, a lot of the result -- a lot of the problems we have are in the United States, there are points of light, and Jon covered those in his prepared remarks. Nevertheless, we've got to improve the innovation program in Beauty Care and primarily in the United States.
Jon R. Moeller: And on the housekeeping question, Ali, we went out of our way at CAGNY to point out -- to point to the fact that this could potentially be an issue. We had no way to dimensionalize it because we didn't have the legislation in our hands. It's different for different companies because the price reductions that are mandated by the legislation are different by category. It's also different for different companies based on how they are choosing to respond to the new regulation. We took the course of action, right or wrong, as soon as the regulation was published to comply. Others may make different choices. And it's not hugely significant for us, but we thought it was important to point out just on the basis of ensuring everybody had the same information and on the basis of transparency.
Operator: Your next question comes from the line of Bill Chappell of SunTrust Robinson Humphrey.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: I just wanted to follow up on the blade and razor business. I'm just trying to understand the price change now. With Hydro being out for kind of the past 2 years, I don't think Energizer has really held up on being promotional and aggressive. What's changed over the past few months why you need to make this -- why are we finally being more aggressive in that market? And then just a clarification, did you say that only -- there were only 6 out of 1,000 price country changes, or just 6 that you've highlighted?
Robert A. McDonald: There were 6 where we felt we needed to go back and take corrective action, and those were the 6 that Jon talked about. The promotion levels of competition in the blades and razors category have been high and have -- but have accelerated as well. And that was the reason we felt the need to have that be one of the places that we try to repair the value equation for our consumers.
Operator: Your next question comes from the line of Jason Gere of RBC Capital Markets.
Jason Gere - RBC Capital Markets, LLC, Research Division: I guess I just wanted to talk a little bit about innovation. And considering that you guys lead your broader categories with innovation, how do you think about setting innovation at the right price points, i.e. is it too expensive in this economic backdrop considering that consumer spending may not get back to where we were years ago? Consumers have made difficult choices to trade down. So I'm just wondering -- and not just in Beauty but just broadly as you look at the U.S. and Western Europe, how you're setting the prices out there and whether or not you feel that that's the appropriate measure at this point.
Robert A. McDonald: Right. Well, we -- as I said earlier, we believe in innovation. Innovation is the primary way we accomplish our purpose of improving lives. We spend about $2 billion a year in research and development. We spend $0.5 billion a year in consumer knowledge. The half -- the $2 billion a year in research and development is about 50% more than our largest competitor. We believe in innovation and we believe that that's the way we improve lives and we sell product and we make profit. The way we think about innovation is not that we just innovate for the premium tiers, or even not that we innovate for the premium tiers and dilute the product for lower priced tiers. We believe that we innovate for each discrete level of the price tiers. So while we're innovating on the high end in U.S. laundry with Tide TOTALCARE, let's say, which have price index of $1.60 versus base Tide, or Tide PODS, we're also innovating on Gain, on Era, which are brands that are priced significantly lower than Tide. So we try to innovate for each consumer need at each discrete level of the economic pyramid.
Jon R. Moeller: And I think, for the question of are there meaningful set of consumers that are responsive to the premium Tier innovation, there continues to be a strong response. Some of our best innovation, as measured by sales, have been in the premium tier, whether that's Tide PODS, albeit it's still early there, but Fusion ProGlide, Crest 3D White. And so we're not seeing an absence of consumer interest in premium innovation.
Operator: Your next question comes from the line of Alice Longley of Buckingham Research.
Alice Beebe Longley - The Buckingham Research Group Incorporated: I have questions about the fourth quarter and then separately on innovation. I'll give you the innovation one first. You've highlighted weakness in Beauty Care and the need to do more innovation for the base lines for Olay and Pantene. We've been hearing this for, I think, more than a year. Do you agree that you're too slow for innovation? And can you explain why you've been so slow? And can you tell us when we start getting significant innovation there? And then on the fourth quarter, we understand commodity costs are worse than you originally thought. But do gross margins still go up in the fourth quarter, the comp is easier. That's the first question on the fourth quarter. Also on the fourth quarter, will promotions take more off of sales than a year ago than they have been? And the third question on the fourth quarter is, will your add ratio be still flat for the year, or will it be up, and will it be up in the fourth quarter?
Robert A. McDonald: Alice, on the rate of innovation or the speed of innovation, certainly, we would always say that we would like to be faster than we are. If you look at the innovation process, we've shortened the time recently, for example, by using more modeling and simulation, which helps us speed the process of innovation. And we're applying those tools to help us speed the process of innovation in the Beauty and Grooming categories, as well as other categories. 80%, for example, now of our innovations have some form of modeling or simulation, which eliminates the need for the creation of bench scale prototypes, which speeds the innovation process. You will be seeing incremental innovations over the coming months. I don't want to disclose them because obviously, our competitors will have access to this information. But as Jon laid out, in the last year, on average, we've had about the same number of IRI Pacesetters, the largest sellers in the United States, as we have in previous years. We're not happy with that. We want to go further and we want to go faster, and you will see that.
Operator: You're next question comes from the line of Tim Conder of Wells Fargo Securities.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: I'd just like to echo a couple of the earlier comments, Wendy and Ali here. The competitors seem to deal with the sluggish developed markets very well and very profitably. Yet as they use promotions effectively to maintain and improve margins, you've made your issues to maintain your share without rolling back the pricing or aggressively using promotion to push out material margin improvement. And it seems one of execution, you've got some innovation that -- in general, that you are getting paid for but broadly, you're not. And then maybe, is it too broad of a marketing focus on the feel-good versus the key core brands? Those seem to be potentially 2 of the underlying issues here. And then separately, more from a housekeeping ongoing prospective, with the restructuring, it would be very, very beneficial, I think, as we go forward each quarter to lay out "Here's how much we did in restructuring, here are the savings for that," so that we can track the progress versus the benchmark of the whole program.
Robert A. McDonald: We're obviously working to grow share in developed markets and to do it in a profitable way. And I've talked about how we're going to do that. And again, the best way to solve this or to answer your questions or Wendy's or Ali's is to deliver the results, and that's what we're focused on.
Operator: Your next question comes from the line of Mark Astrachan of Stifel, Nicolaus.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: I'm curious about the commentary that marketing investment was reduced in the March quarter. Why was that? And then relatedly, the spread between price and volume has widened to the largest gap in recent memory. I guess the question is, how long is that sustainable? And what prevents you from, frankly, completely repositioning pricing going forward to try to stimulate volumes and sort of go to the opposite end of the spectrum? I know it's drastic, but what prevents it?
Jon R. Moeller: Well, first, on the marketing point, I'm not recognizing that point. We didn't decrease marketing spending in the quarter we just completed. So I'm not quite sure where that reference comes from, but I'd be happy to follow up. If there was a reduction, it was very minor, but there was no step change, for sure. And on the pricing point, I mean, quite frankly, I've talked about $3.5 billion of pricing offsetting $3.5 billion of commodity cost increases. I think if we can make it work, staying with that is a much better option than reversing all of that because it's much more pricing flexibility. As I mentioned earlier, we really don't, except in a few cases, see ourselves out of step with the balance of competition as it relates to the amount of pricing that's going into the market. And -- but again, where we lose significant share as a result of that, we will take action, as we have done.
Operator: Your next question comes from the line of Linda Bolton-Weiser of Caris & Company.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: Just another question on the topic of innovation. I guess I think of true innovation as something that adds unit volume growth to the category. You give the consumer an additional item to buy within the category, the way fabric softener was added to laundry many years ago and teeth whiteners added to Oral Care, et cetera. Can you give examples of -- I mean, it doesn't seem that really anything that's come out of Procter in the last few years is that kind of true innovation. And is that the way you think of true innovation in terms of being able to grow categories? And then secondly, on the mix, the negative mix that we've seen as a trend, it seems that that's more related to innovation than maybe -- it seems that there's been more a discussion of the geographic mix influence on the mix. And maybe more of it is from the lack of innovation. As we're seeing such negative mix in Beauty Care of negative 4%, can you maybe comment on, is there some way to quantify, is there really more of it from lack of innovation versus geographic mix? Or am I thinking of it the right way?.
Robert A. McDonald: Linda, in Jon's remarks, we talked about innovation. We think of innovation holistically. In other words, we think of every -- innovation as everyone's job, innovation in marketing, innovation in product. Jon talked about the fact that we've upgraded existing products, like Crest with Crest Pro-B Health Clinical (sic) [Crest & Oral-B Pro-Health Clinical] lineup, the new Bounty technology, Always and Tampax Radiant. But also, we believe in entering new categories. And Jon talked about the fact that we introduced Downy Unstopables, which has increased the size of the fabric enhancer category. We talked about Febreze car air freshener, which is increasing the size of the Air Care category. We talked about Olay's Smooth Finish in the facial hair removal area, which is a new and better product for facial hair removal. So we talked about ZzzQuil, which is a first entry for us into the sleep aid segment. So we do believe in expanding categories, and we do believe in this continuous innovation that even creates new categories where categories don't exist. And that's the kind of innovation that we need in order to grow our business over the long term and globally.
Operator: You're next question comes from the line of Leigh Ferst of Wellington Shields.
Leigh Ferst - Wellington Shields & Co., LLC, Research Division: I wanted to take another stab at the question about pricing. I'm wondering if in a world of instant communications and mobile apps, et cetera, it might become more difficult in the future to take pricing. How do you look at that?
Robert A. McDonald: Well, repricing -- pricing is one aspect of consumer value. There are lots of different aspects of consumer value. For example, I talked about a retailer, where I was in the store and the retailer was telling me their average transaction size was $12 for every shopper who shops in their store. And then we went and we checked the average transaction size for Tide PODS, and that retailer was selling the $19 size, which means consumers are seeing tremendous value in Tide PODS that's much more than just price. And we have proprietary ways that we measure that, so that we have a relatively good estimate when we go to market as to what would happen. We're also working in consumer applications and working in digital technology to make sure that we create a relationship with the consumer and let them know the value of our products before and when they're in the store.
Jon R. Moeller: I think that's our last question. I want to apologize because there were a couple or parts of questions that we didn't get to, either as a new caller got brought online or as we just didn't make it there. I want to be able to answer all of your questions, and so please don't hesitate to follow up with us and we'll do that. My apologies on a couple of those.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.